Operator: Good day and thank you for standing by. Welcome to the Agora, Inc. First Quarter 2023 Financial Results Conference Call.  Please be advised that today's conference is being recorded. I'd now like to hand the conference over to the IR Director, Ms. Fionna Chen. Please go ahead, ma'am.
Fionna Chen: Thank you, operator. Good morning and evening, everyone. Thank you for joining us for Agora, Inc.'s first quarter 2023 earnings conference call. Our earnings results press release, earnings presentation and an explanatory note on certain reporting and disclosure adjustments, SEC filings and a replay of today's call can be found on our IR website at investor.agora.io. Joining me today are Tony Zhao, Founder, Chairman and CEO; Jingbo Wang, our CFO. Reconciliations between our GAAP and non-GAAP results can be found in our earnings press release. During this call, we will make forward-looking statements about our future financial performance and other future events and trends. These statements are only predictions that are based on what we believe today, and actual results may differ materially. These forward-looking statements are subject to risks, uncertainties, assumptions and other factors that could affect our financial results and the performance of our business and which we discussed in detail in our filings with the SEC, including today's earnings press release and the risk factors and other information contained in the final prospectus relating to our initial public offering. Agora, Inc. remains no obligation to update any forward-looking statements we may make on today's call. With that, let me turn it over to Tony. Hi, Tony.
Tony Zhao: Thanks, Fionna, and welcome, everyone, to our earnings call. Before diving into our operational results for the quarter, I would first like to make a few remarks regarding recent changes in the organizational restructure of our company. Since our inception 9 years ago, we have mostly operated under the Agora brand globally to better meet the requirements of our customers and compete more effectively in the unique market we serve. We will now operate 2 independent divisions under the same holding company. Our Agora division will focus on our business in the U.S. and international markets, and our Shengwang division will focus on our business in the China market. Agora and Shengwang will each be run by a local management team and adopt local standards and best practice. We have appointed Stanley Wei as Chief Operating Officer of Agora and Robbin Liu as Chief Operating Officer of Shengwang. We believe this strategic reorganization will allow us to optimally focus our resources on the specific needs and the priorities of each business. Agora will focus on acceleration of growth and on gaining market share in the U.S. and international markets, leveraging our leading technology and competitive product offerings. Shengwang will focus on enhancing our quality of experience advantage and improving the ease of adoption of our products, further strengthening our competitive position in the China market. By empowering the local management team of each division, we will be able to respond more quickly to the needs of our customers and become more agile as new opportunities emerge. From this quarter onwards, we will report our revenue and operating metrics separately for Agora and Shengwang to help investors better understand the dynamics and our operational results in each of these markets. Our revenue for the first quarter was $15.1 million for Agora, up 10% year-over-year; and $21.3 million for Shengwang, down 14% year-over-year. Agora's revenue growth was primarily due to business expansion and usage growth in U.S. and international markets. Shengwang's decrease in revenue was primarily due to the appreciation of U.S. dollar, our disposal of Easemob's customer engagement cloud business and decrease in usage from K12 academic tutoring customers. After adjusting for these factors, Shengwang's revenue would have increased by 3% compared to the same quarter last year. As of the end of this quarter, we have nearly 1,500 active customers for Agora and nearly 4,000 for Shengwang, an increase of 31% and 2%, respectively, compared to one year ago. Now moving on to our product and technology updates. First, starting with Agora. The Flexible Classroom, our low-code PaaS  solution designed for building scalable and customizable online classrooms, has continued to gain momentum in the U.S. and the global market as the demand for online learning continue to grow. Recently, the Flexible Classroom was named a finalist by 2023 The EdTech Awards in the e-learning, blended, flipped solution or remote solution category. Previously, we mentioned our partnership with HTC to accelerate the adoption of real-time engagement in VR applications. In HTC's VIVE ecosystem, developers use our Video SDK to power real-time collaboration between end users within virtual environments. Recently, we were recognized as a Webby Awards honoree under the category of Metaverse, Immersive & Virtual Best Real-time Experience for how our technology is used in HTC's VIVE Sync VR ecosystem. To further increase the value of our premium and enterprise support package for our customers, we have added integrations with Okta and Datadog. The Okta integration enables customers to manage team members' access to Agora Console through Okta identity management tools. The Datadog integration with Agora Analytics enables customers to push analytics data, current usage, quality and performance directly to the Datadog platform for analysis and virtualization -- and visualization. Moving on to Shengwang; we recently upgraded our real-time karaoke product. When this solution was first launched in 2021, it could accommodate 2 users singing together at the same time. If a third user wanted to join, 1 of the 2 current users would have to give up the microphone. This limitation was mainly due to the technology challenge at the time of mixing multiple real-time soundtracks in a highly synchronous manner and deliver output to all users with low latency. With our latest version, up to 8 users can now sing together, which unlocks a wide range of new features for our customer's applications. For example, all users in the virtual karaoke room can now participate in a singing battle or take random turns singing part of songs together. And powered by our upgraded product, our customers can now replicate in-person karaoke experience within their application. Next, I would like to discuss the combination of generative AI and real-time engagement and enormous opportunity this combines -- this combination holds for the future. Since the end of last year, the world has been captivated by the latest advance in large language model and generative AI. People widely believe that generative AI, despite being in its early stage, will drive significant paradigm shifts in many industries, and real-time engagement is no exception. Generative AI can empower customers to dramatically enhance end user experience in their applications or create new use cases that were previously impossible. Let's look at some examples. The advent of powerful large language model has significantly improved the performance of chatbots in text format as can be seen in the growing popularity of ChatGPT and AI-powered search engines. However, this is only the beginning. As AI models continue to evolve and gain more powerful multimodal capabilities, they will become more adept at processing voice and video feeds and generating response in real time. Using IoT hardware as input/output devices, people will have an all-powerful, humanlike AI body  that can provide information, carry out tasks or engage in casual chats all through voice and video. Education is another industry where people have strong hopes that generative AI can help revolutionize experiences. By analyzing student data, AI-powered tutors can generate personalized learning plans and deliver learning content in an interactive manner with everything tailored to best match a student's learning progress, pattern and real-time feedback. In addition, AI tutoring can also provide affordable and tailored education opportunity to those who previously did not have access to quality education. There is also a huge potential for generative AI to disrupt the social, entertainment and gaming industries. A virtual matchmaker can do the job of making initial introduction and facilitating conversations just as well as a real person in the dating application. If you need to leave an interactive session for a short while or being disrupted by network connection, your digital twin can take over and continue the conversation. When you come back, a summary can be immediately available for you to catch up. For online social gaming, it will become almost impossible to tell if your teammates or opponents are real players or AI-controlled nonplayer characters. Looking at examples above and many others, we see something in common. Generative AI can significantly expand the scope and opportunity of real-time engagement. Previously, real-time engagement largely took place among groups of people. With the help of large language model, RTE can now occur between -- among people, digital twins of people and fully virtual, AI-based characters, opening the door to a much broader range of possible use cases. In addition, with greatly enhanced user experience, RTE will become more intelligent, immersive and enjoyable. This trend will likely increase the overall usage of real-time engagement solutions multiple times and bring more business opportunities. We have been working closely with our customers to create pilot applications in certain verticals, and we will continue to monitor the latest developments while assisting our customers in utilizing generative AI in their real-time engagement use cases. Before concluding my prepared remarks, I want to thank both Agora and Shengwang teams for their hard work during this transitional period. I believe this strategic reorganization will sharpen our ability and strengthen our position in both the global and China markets and most importantly, allow us to serve developers and customers in a more agile and efficient way. With that, let me turn things over to Jingbo who will review our financial results.
Jingbo Wang: Thank you, Tony. Hello, everyone. Let me start by first discussing certain reporting and disclosure adjustments in our financial results. And I will review financial results for the first quarter and outlook for the second quarter of 2023. Following our recent reorganization, Agora, Inc. is now the holding company of 2 independent businesses, Agora and Shengwang, which will operate under their own unique brands and distinct legal entities and will be run by separate local management teams. Beginning from the first quarter of 2023, we will report revenues separately for Agora and Shengwang based on the legal entities with which customers enter into contracts. This differs from our previous practice, which was to separately report revenues for China and U.S. and international based on geographies of usage. For example, certain Chinese customers offer application that primarily target end users outside China. Such revenues were previously included under U.S. and international. We now include such revenues under Shengwang to reflect in terms of contractual relationships. For the same reason, we will report number of active customers and dollar-based net retention rate, or DBNRR, separately for Agora and Shengwang, but definition of active customers remain unchanged. The calculation methodology of retention rate is same as expansion rate, which is the term we previously used. As almost all revenues generated from Agora customers are denominated in U.S. dollar and almost all revenues generated from Shengwang customers are denominated in RMB, we calculate DBNRR in U.S. dollar for Agora and in renminbi for Shengwang instead of converting everything into U.S. dollars. Revenues for Easemob's chat API business will also be included in calculating active customers and retention rate for Shengwang business. A detailed explanatory note, including a recapped  historical results reflecting these adjustments can be found on Investor Relations website. Moving on to our financial results for Q1. Agora revenues were $15.1 million in the first quarter of 2023, an increase of 10.2% year-over-year and a decrease of 4.4% quarter-over-quarter. The year-over-year increase was primarily due to our business expansion and usage growth, and quarter-over-quarter decrease was primarily due to challenging macroeconomic environment. As we mentioned in previous earnings calls, interest rate hikes, worldwide inflationary pressure and tightening of inter-capital funding starting from the second half of last year had notably  impacted some of our customers' business and financial conditions and their ability to raise funding, which led to reduced usage of our products and increased pricing sensitivity. Shengwang revenues were $21.3 million in the first quarter of 2023, a decrease of 14.5% year-over-year and a decrease of 12.3% quarter-over-quarter. The year-over-year decrease was primarily due to the disposal of Easemob's customer engagement cloud business, a decrease in usage from K12 academic tutoring sector following regulatory change and the depreciation of RMB against U.S. dollar. If we exclude these factors, revenue denominated in RMB would have increased 2.7% year-over-year. The quarter-over-quarter decrease was primarily due to the disposal of customer engagement cloud business, lower usage during Chinese New Year holiday for Internet customers and longer-than-expected sales cycle for traditional enterprise customers. Dollar-based net retention rate for Agora is 130%. Dollar-based net retention rate for Shengwang is 92%, excluding revenues from the K12 academic tutoring sector. Moving on to cost and expenses. For my following comments, I will focus on non-GAAP results, which exclude share-based compensation expenses, acquisition-related expenses, financing-related expenses, amortization expenses of acquired intangible assets, income tax related to acquired intangible assets and impairment of goodwill. Non-GAAP gross margin for the first quarter was 63.3%, which was 0.3% higher than Q1 2022 mainly due to the disposal of customer engagement cloud business, which had lower gross margin. As we mentioned in our previous earnings calls, we restructured and reduced our global workforce in Q4 2022. As a result, non-GAAP R&D expenses were $17.4 million in Q1, a decrease of 31.2% year-over-year. Non-GAAP R&D expenses represented 47.8% of total revenues in the quarter compared to 65.6% in Q1 last year. Non-GAAP sales and marketing expenses were $8.5 million in Q1, a decrease of 26.3% year-over-year. Sales and marketing expenses represented 23.4%  of total revenues in the quarter compared to 30% in Q1 last year. Non-GAAP G&A expenses were $6.9 million in Q1, a decrease of 7% year-over-year. G&A expenses represented 18.8% of total revenues in the quarter compared to 19.1% in Q1 last year. Non-GAAP operating loss was $9.2 million, translating to a 25.4% non-GAAP operating loss margin for the quarter compared to an operating loss margin of 49% in Q1 last year. Adjusted EBITDA was negative $6.4 million, translating to a 17.7% adjusted EBITDA loss margin first quarter, significantly lower than the gross margin of 42.6% in Q1 last year. Investment loss was $4.4 million in Q1 primarily due to the fair value change in equity investments of $2.9 million, credit loss in debt investments of $1.2 million as well as disposal loss of $0.3 million. Now turning to cash flow; operating cash flow was negative $8.9 million in Q1 compared to negative $15.9 million last year. Free cash flow was negative $9.1 million compared to negative $17 million last year. Moving on to balance sheet; we ended Q1 with $416.5 million in cash, cash equivalents, bank deposits and financial products issued by banks. Net cash flow -- net cash outflow in the quarter was mainly due to free cash flow of negative $9.1 million, share repurchase of $19.4 million and cash paid in relation to headquarters project of $5.1 million. During Q1, we repurchased approximately 21.6 million of our Class A ordinary shares, equivalent to 5.4 million ADSs, for $19.5 million, representing 10% of our $200 million share repurchase program. As of the end of Q1, we had, in aggregate, repurchased approximately 57.4 million of our Class A ordinary shares, equivalent to 14.4 million ADSs, for $61.3 million, representing 31% of our share repurchase program. Now turning to guidance; recently, we saw increased uncertainties in macroeconomic conditions, such as foreign exchange rate, inflation and interest rates, which may have greater-than-expected impact on our customers' business and in turn, have more uncertainty to our revenues. Therefore, starting this quarter, we'll be providing quarterly revenue guidance instead of full year guidance. For the second quarter of 2023, we currently expect total revenue to be in the range of $34 million and $37 million. This forecast reflects our current and preliminary views on the market and operational conditions, which are subject to change. In closing, I want to express my deepest appreciation to both Agora and Shengwang teams for their hard work during this challenging period and to our investors for their trust in our vision and our team. Thank you, everyone, for attending the call today. Let's open it up for questions.
Operator:  Our first question comes from the line of Yang Liu from Morgan Stanley.
Yang Liu: Two questions from my side. The first one is about the outlook. The number implies a largely flattish or slightly sequential decline in second quarter. Could management share more about the outlook for Shengwang and Agora differently for the second quarter? Do you see further diverging of the growth trend or a similar trend in the next few quarters for the 2 entities? And my second question is regarding the AI impact to the company. Tony mentioned a lot in terms of the product and the customer demand or use case driven by the new AI GC  technology. But I'm wondering if there is any potential cost savings room from the new technology.
Tony Zhao: All right. I'll talk about -- discuss the demand from both markets. On Shengwang side, we can broadly push on  customer into 3 segments. One is domestic digital native and another is domestic digital transformation and going overseas customers. On digital native customers, recently, demand remained soft primarily due to macroeconomic challenges and regulation. However, on this segment, as I mentioned earlier, we also see large opportunities on generative AI-powered use cases. That would take some time. On digital transformation side, recently, we saw longer sales cycle. But there is clearly a lot of unmet demand from traditional enterprises. We expect this segment to generate sustained growth for us. Ongoing overseas customers, the overall growth momentum has been strong. On Agora side, we see overall positive demand momentum in more developed market, especially on the following verticals: live streaming e-commerce, Twitter  economy, sports live streaming, future of work. For emerging markets, we see pressure on our customers due to macroeconomic challenges and market competition, such as in South Asia and Southeast Asia. That's from the outlook of the demand side. And generative AI side, we actually have invested in this area for quite some time to help improve audio/video quality. And as I mentioned, large language model can actually help create more use cases in many verticals. But if your question is around reduced cost, I don't think it's going to hugely help us to reduce cost. But in terms of disrupting like many business models, like in education, AI-powered tutor can be much cheaper than a real tutor, or a virtual celebrity or similar can also be much cheaper, or virtual matchmaker the same sense or even in social space. As you can see, our popular character who's busy talking to people in one social platform can be also AI-powered person to reduce the platform's cost to maintain and pay a real person who's active on that platform. I think on those, it can hugely disrupt their business.
Operator: Our next question comes from the line of Daley Li from Bank of America Securities.
Daley Li: I have one question regarding our international -- the Agora business. For this quarter, it's delivered quite solid growth. What's the key drivers for our growth, for example, regarding the volume and ASP? And what's the outlook for the volume and ASP going forward?
Jingbo Wang: As we explained in previous earnings calls, so the market in China and the market in the U.S. and international markets are at different stage of development in terms of adopting the RTE technology. So China market is comparatively more mature. So in the past 18, 24 months , we certainly see U.S. market catching up quite rapidly. For example, in live streaming e-commerce use case, that was already popular in China 2 years ago and probably even earlier. But that's really just taken off in the past 12, 18 months in the U.S., and that has created a lot of new demand for technology. Also, we have been expanding into more geographic regions, South Asia, Middle East and even South America. So that trend is stronger, cause  momentum on the Agora side. And looking forward, as Tony just explained, in China, we do see more kind of macro challenges, overall macroeconomic environment, and also regulation in terms of the more traditional enterprise customers in China. We also see more budget constraints. So looking at the next few quarters, we are also more optimistic in terms of demand for the Agora side.
Operator: Our next question comes from the line of Ethan Zhang  from Nomura.
Bing Duan: This is Bing Duan from Nomura. I have one question regarding the China market. As we noted that there are a few changes in the competition landscape, such as Ali Cloud's plan of spinoff and the recent price cuts from the large cloud companies like Alibaba and also some Chinese telecom operators. So how do we see this impact our Shengwang business in China, such as the ASP and margins, and also about our future market share in China?
Tony Zhao: First of all, the public cloud price adjustment recently does not really related to us and giving pressure to us. However, in China, as I mentioned earlier, the overall competition has remained strong for a long time, and the demand is actually, especially for domestic native part, is actually soft. With this situation, we do proactively enhance our competitive edge. And sometimes, we reduce our pricing on certain areas to increase competitive pressure and try to gain more market share. For major public cloud previously also rolling out similar service in RTE sector, honestly, there's no one being left. Everyone already released some similar products already. However, over the course of past like 2, 3 years, many of them have mostly exited the business. They either stopped really selling that product or some already started partnership with us and value-added our product on their offerings. Thank you.
Operator:  I am showing no further questions. I will now turn the conference back to Fionna for closing remarks.
Fionna Chen: Thank you, operator. Thank you, everybody, for joining our call today. Again, if there are any further questions, feel free to contact us. And also, the presentation and the remarks of this call will be posted on our website. Thank you, everybody. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.
Jingbo Wang: Thank you. Bye, bye.
Tony Zhao: Bye.